Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Fourth Quarter 2016 Earnings Conference Call. As a reminder, this conference is being recorded, Tuesday, February 21, 2017. I would now like to turn the conference over to Erik Staffeldt, Vice President of Finance and Accounting. Please go ahead, sir.
Erik Staffeldt - Helix Energy Solutions Group, Inc.: Good morning, everyone, and thanks for joining us today for our conference call for our Q4 2016 earnings release. Participating on this call for Helix today is Owen Kratz, our CEO; Tony Tripodo, our CFO; Alisa Johnson, our General Counsel; and Scotty Sparks, our COO. Hopefully, you've had an opportunity to review our press release and the related slide presentation released last night. If you do not have a copy of these materials, both can be accessed through the Investor Relations page on our website at www.helixesg.com. The press release can be accessed under the Press Releases tab, and the slide presentation can be accessed by clicking on today's webcast icon. Before we begin our prepared remarks, Alisa Johnson will make a statement regarding forward-looking information. Alisa?
Alisa B. Johnson - Helix Energy Solutions Group, Inc.: During this conference call, we anticipate making certain projections and forward-looking statements based on our current expectations. All statements in this conference call or in the associated presentation, other than statements of historical facts, are forward-looking statements and are made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Our actual future results may differ materially from our projections and forward-looking statements due to a number and variety of factors, including those set forth in our Slide 2 and in our Annual Report on Form 10-K for the year ended December 31, 2015. Also, during this call, certain non-GAAP financial disclosures may be made. In accordance with SEC rules, the final slides of our presentation materials provide a reconciliation of certain non-GAAP measures to comparable GAAP financial measures. The reconciliation, along with this presentation, the earnings press release, our Annual Report and a replay of this broadcast, are available on our website. Owen will now make some opening remarks.
Owen E. Kratz - Helix Energy Solutions Group, Inc.: Good morning, everyone. I'm losing my voice here, so bear with me. But we'll start on Slide 5, which is a high-level summary of Q4 results. In addition to typical seasonal factors, Q4's operating results were adversely affected by the following items. First, systems issues on the Q5000 caused 15 non-revenue-producing days in the quarter. Second, the deferral of startup of Siem Helix 1 vessel in Brazil, which I'll cover more in depth later. And, third, $3.2 million of additional bad debt reserves associated against the robotics business. Fourth quarter revenues decreased from $161 million in the third quarter to $128 million, while EBITDA declined from $47 million to $27 million on a sequential quarterly basis. There were some bright spots in quarter four. The Q4000 experienced 100% utilization. In the North Sea, Well Intervention fleet realized higher utilization than we had previously forecasted. Over to Slide 6, non-cash charges impacting our bottom line results. We booked an impairment charge of $45 million to write off the remaining goodwill associated with our robotics business and booked a $4 million loss associated with convertible note refinancing, which occurred in Q4. Absent non-cash items, earnings per share would have come in at a loss of $0.05 per share. We normally see a seasonal drop-off in activity in both our Well Intervention and robotics business in Q4 associated with weather conditions in the North Sea market. That certainly was the case in the Well Intervention business in quarter four. However, the utilization of the Well Enhancer was 78%, and the Seawell at 47% was better than we had anticipated just 90 days ago. In the robotics business, revenues associated with wind farm project in the North Sea served to mitigate the typical seasonal decline in the North Sea. However, overall weak activity with offshore oil and gas activities resulted in a quarter-to-quarter overall decline in revenues for robotics. The Siem Helix 1 arrived in Brazil, and we fully expected to place the vessel in service during quarter four. However, the Petrobras' inspection and acceptance process is proven to be more time-consuming that what we had anticipated. We're still continuing to work through Petrobras' inspection and acceptance process and the vessel is currently in a local shipyard undergoing some modifications as agreed between Helix and Petrobras. Over to Slide 7. From a balance sheet perspective, our cash levels at year-end 2016 dropped to $357 million from $482 million at the end of September. The drop-off in cash is related to $107 million of capital – cash expenditures for CapEx, including a scheduled $69 million shipyard payment on the Q7000 as well as $41 million of principal payment on debt obligations. In early January, we bolstered our liquidity with a common stock offering with net proceeds to the company of approximately $220 million. During the quarter, we issued $125 million of the new convertible notes, while repurchasing $125 million of old convertible notes with the proceeds. Essentially, we pushed out $125 million of debt maturity from 2018 to 2022. $41 million of cash was used to repay principal loan and other debt obligations, which reduced our gross debt obligations outstanding from $678 million to $626 million quarter-to-quarter. Our revolving credit facility remains undrawn, although access to the revolver is presently fairly limited based on our trailing 12 months of EBITDA. You may recall, in February 2016, we amended the credit facility to provide us with more cushion with respect to covenant compliance. I'll now turn the call over to Scotty for an in-depth discussion of our operating results.
Scott Andrew Sparks - Helix Energy Solutions Group, Inc.: Thanks, Owen. Moving on to Slide 9. Revenue in the fourth quarter decreased to $128 million from $161 million in the third quarter. Gross profit margin decreased to 14%, resulting in a profit of $18 million, down from $40 million in Q3 due to the expected seasonal lower utilization in the well ops North Sea assets and difficult market conditions in the robotics fleet. In the Gulf of Mexico combined, we achieved high utilization for the Well Intervention fleet. The H534 was sold late in December and was due to be scrapped by the new owner. We continue to see opportunities associated with our alliance partners, OneSubsea and Schlumberger, and along the lines of the work performed on a coordinated basis on the Q4000 in the fourth quarter. Our global marketing and sales effort continues to bid work jointly with the OneSubsea alliance. We are now in the testing and qualification phase for the 15k jointly owned IRS system, and manufacturing has commenced on the ROAM, riserless open-water abandonment module. We expect to complete the manufacturing of both of these systems in the second half of 2017 and bring them to the market as well. Slide 10 provides an overview of our Well Intervention business in the Gulf of Mexico. The Q5000 continues with BP work. And at the end of 2016, the vessel has completed work on six wells. The vessel had 15 days at zero rates during the quarter, primarily due to replacing a damaged umbilical related to the IRS system. Since this last event in November, the unit has had very little downtime. The Q5000 is under contract to BP until the third quarter of 2017 and will be available to the market for a 90-day break from the BP long-term contract. The vessel will resume work under the BP long-term contract in the fourth quarter. Q4000 had 100% utilization in the quarter, working for numerous clients. The vessel performed exceptionally well with complete uptime during the period. Q4000 has a good backlog for 2017. The H534, which have been stacked for a year, was sold to new owners. The vessel has been removed from the market and will soon be scrapped. Our IRS units were idle for the entire fourth quarter. IRS number 4 is undertaking its five-year certificate of compliance, while IRS number 1 recently commenced rental activities in Q1. Moving to Slide 11 for our North Sea Well Intervention business. The Well Enhancer completed the last project of the year in early December. During this seasonally low period, we took the opportunity to commence dry-docking of the vessel for class intermediate inspection. The Seawell worked until early November. And during an idle period in December, we completed (09:40) regulatory inspection and dry dock. Both of these dry docks were completed on budget and schedule, and the units were idle until placed into service. In contrast to 2016, when the Seawell and Well Enhancer did not commence work until the second quarter, in 2017, both vessels started working in early February with a firmer backlog than 2016, and we expect better utilization for the vessels in 2017. The Skandi Constructor remained idle for the quarter. The owners relocated the vessel to the APAC region in search of activity, and the vessel is currently stacked in Singapore. The charter for the vessel expires at the end of March. Moving to Slide 12. In Brazil, the Siem Helix 1 continued with Petrobras inspections and entered their local yard to undertake agreed-upon modifications. The vessel is expected to be placed into service in late Q1 subject to acceptance testing. The Siem Helix number 2 was under construction and commenced vessel trials in Q4. The topside equipment installation will commence this quarter. We are presently forecasting Siem Helix 2 to be placed into service some time in Q4 2017. Moving on to Slide 13 for our robotics review. As I expected, market conditions remained tough on the robotics side of the business. And due to seasonal factors, utilization was slightly reduced compared to Q3. Rates continued to be challenging. However, we still achieved 68% vessel utilization. Deep Cygnus completed 40 days of trenching work in Egypt and then concluded 27 days trenching work in the North Sea plus a smaller IRM scope. Grand Canyon had 74 days trenching in the North Sea. Grand Canyon II had 41 days of work on various shorter IRM projects with numerous clients in the Gulf of Mexico. Aside from trenching, our chartered robotics fleet continues working more in the repair and maintenance work is compared to new construction activities. We expect 2017 market conditions to remain challenging for robotics. Over to Slide 14, I'll leave this slide detailing the vessels' ROV and trenching utilization for your reference. Now, turning the call over to Erik for a more in-depth balance sheet discussion.
Erik Staffeldt - Helix Energy Solutions Group, Inc.: Thanks, Scotty. Turning to Slide 16, which outlines our debt instrument and maturity profile at 12/31/2016. Our total funded debt at yearend was $657 million, a reduction of $41 million from our third quarter balance, reflecting quarterly principal payments of $32.2 million on our term loan, including $25 million prepayment of the loan and $8.9 million on our Q5000 loan. For the year, we reduced our funded debt balance by $119 million from $776 million to $657 million. In addition, during the fourth quarter, we repurchased $125 million of our convertible senior notes due 2032 with the proceeds from the issuance of $125 million of convertible senior notes due 2022. This transaction effectively moved the expected repayment of $125 million of convertible notes from March 2018 to May of 2022, reducing our 2018 principal payments. Moving to Slide 17, which provides an update on our year-end gross and net debt levels, our net debt position was $269 million December 31, a $73 million increase from our third quarter levels of $196 million. The increase in our net debt position was primarily driven by our capital expenditures. Our cash position decreased this quarter by $125 million to $357 million. The decrease in cash was driven by our debt repayments of $41 million, capital expenditures of $107 million, partially offset by approximately $20 million of cash generated from operations. Our liquidity at December 31 was approximately $375 million, comprised of a cash balance of $357 million and revolver availability of $19 million. Moving to Slide 18. It provides pro forma statement on our year-end gross and net debt levels adjusted for the equity offering completed in January 2017 that generated net proceeds of approximately $220 million. On a pro forma basis, our net debt position was $50 million, our cash position increased to $576 million and our liquidity increased to $595 million. I will now turn over the call to Tony for a discussion on our 2017 outlook.
Anthony Tripodo - Helix Energy Solutions Group, Inc.: Thanks, Erik, and good morning, all. Moving over to Slide 20, which provides our initial outlook on 2017. We are forecasting 2017 EBITDA in a range of $120 million to $140 million. This range includes some key assumptions. We assume we startup Siem Helix 1 for Petrobras late in Q1. We assume startup of Siem Helix 2 for Petrobras in middle of quarter four. We're seeing an improving environment for the North Sea Well Intervention business and expecting better results out of that business. We're also assuming improved utilization for the Q5000 on the BP contract that has fewer system issues, but we're also seeing a continuation of the weak market for robotics. Any significant variation from these key assumptions could cause our EBITDA to fall outside of the range provided. We entered 2017 with a backlog of $1.9 billion, which is heavily weighted to the BP Q5 contract, two Petrobras contracts and the production handling contract for the Helix Producer I. We do see improving market activity in the North Sea Well Intervention market. As Scotty said earlier, both the Well Enhancer and Seawell went on hire in February. Whereas, last year, the Seawell was idle until June. Both vessels start 2017 with significantly higher relative backlog than 2016. In the Gulf of Mexico, the Q5000 is under contract for 270 days to BP, and we expect the Q5 to secure utilization for some of the remaining 90 days. The Q4000 enters 2017 with good backlog and is expecting to see another year of high utilization outside of the regulatory dry dock. The Q4000 is scheduled to enter dry dock toward the end of Q1 with an estimated 45-day dry dock period. As with any dry dock, the actual time spent in dry dock is highly dependent upon an examination of the vessel, when she is actually lifted out of the water and, thus, this estimate could vary significantly. Over to Slide 22. Again, the robotics business segment is expected to have another tough year as subsea infrastructure spending is likely to lag an industry recovery. Not much more to say about the robotics business. Over to Slide 23. The CapEx for the year is forecasted at approximately $200 million, with most of this capital for completion and build-out of two Siem Helix vessels and continuing construction on the Q7. The CapEx forecast for 2017 is higher than we previously suggested, primarily for the following reasons. Deferred spending from 2016, which is now carried over into 2017. We originally provided guidance for 2016 CapEx of $230 million, and actual CapEx spending came in at $189 million. Much of the lower spending in 2016 than we had originally forecast is deferred spending, that is projects which proceeded at a slower pace that now carries over into 2017, and there is additional CapEx for modifications to Siem Helix 1 and 2 for contract compliance and otherwise requested by Petrobras. Moving over to Slide 24. As previously mentioned, we bolster our liquidity in early 2017 with the sale of 26.5 million shares of common stock, yielding net proceeds to the company of approximately $220 million. During 2017, we are scheduled to make $68 million of principal payments, further reducing our gross funded debt. I'll skip Slide 26, leave it for your reference and turn the call over to Owen for closing remarks.
Owen E. Kratz - Helix Energy Solutions Group, Inc.: Well, thanks, Tony, and thank goodness 2016 is behind us. We had always modeled that 2016 would be our trough year, but never expected it to be quite as bad as it was. Operational downtime on the Q5000 IRS system and the delayed start of the Petrobras' contract were two very significant unforeseen events. We met all of our financial and capital obligations and took steps in support of a healthy balance sheet in spite of disappointing cash generation from operations. In 2017, 2017 will also be challenging, but it appears that the corner may be getting turned. Both the Siem Helix 2 and the Q7000 are expected to be completed in 2017, bringing a conclusion to an aggressive capital growth phase. This should result in Helix having beyond question the dominant industry-leading, non-rig intervention fleet. With the ongoing construction of the Q7000, the modifications to the Siem Helix 1 and Siem Helix 2 along with the completion of the Siem Helix 2, our capital spending will be up around $200 million mark for 2017. This is higher than previously anticipated, as mentioned, primarily due to the modifications to the Siem Helix 1 and 2 as well as deferred spending as Tony just covered. Throughout 2015 and 2016, we continued our aggressive pay-down of principal on our debt obligations. And as a result, our gross debt continues to fall. In 2017, we anticipate a slightly improved market for well ops in the North Sea and improved operating results for the Q5000 in the Gulf of Mexico, while robotics will continue to be depressed. We are seeing an upside in trenching. And after 2017, we will also see the vessel charters – charter expense start to fall off. We should also see the initial contributions from the Siem Helix 1 and Siem Helix 2 in 2017. I know many of you are wondering what's going on in Brazil with the Siem Helix 1 and 2. The Siem Helix 1 is completing modifications in the BrasFELS yard, which were agreed with Petrobras to be completed prior to starting the contract. The work should be completed over the next couple of weeks, followed by offshore trials and testing before going on contract for the first well. All similar modifications are being incorporated into the Siem Helix 2 during its completion. We anticipate that the acceptance process will be much smoother for the Siem Helix 2 and should be able to get on contract in Q4 of this year. I would say that we have a good working relationship now with Petrobras and feel this will be the beginning of a long and mutually beneficial future with them. Once we have all the vessels completed and paid for, Helix should generate positive cash flow. The focus will then be on aggressive reduction of debt. During the same period, we expect EBITDA to grow significantly with the addition of the new assets. Through our alliance with OneSubsea, we'll be bringing new technology to the marketplace, starting with the 15,000-psi IRS system and the new ROAM system. With this, we expect to be able to broaden our market coverage and utilization, driving higher margin. We are also seeing green shoots suggesting higher activity levels by our customers. Should this occur in a meaningful way, we will have turned the corner. Back to you, Erik.
Erik Staffeldt - Helix Energy Solutions Group, Inc.: Okay. Operator, at this time, we'd be prepared to take questions.
Operator: Certainly. Thank you. And your first question comes from the line Ian Macpherson with Simmons. Please proceed with your question.
Ian Macpherson - Simmons & Company International: Hey. Thanks very much. I want to sympathize with the boys. I'm in the same boat as you, but I'll try to get these out clearly as possible. I guess, the first question, with regard to the Seawell and Well Enhancer starting this year with better visibility, better backlog than they had last year, is your total reported backlog at year-end 2016 of $1.9 billion include the substantial backlog that those vessels don't have, or was that added subsequent to that backlog print? (23:01)
Anthony Tripodo - Helix Energy Solutions Group, Inc.: Yeah, a little of both. So...
Ian Macpherson - Simmons & Company International: Okay.
Anthony Tripodo - Helix Energy Solutions Group, Inc.: So, our backlog of $1.9 billion includes contracts we entered into in 2016, but we've added some backlogs since the beginning of the year as well.
Ian Macpherson - Simmons & Company International: Okay. Thanks, Tony. And should we think about pricing having more or less stabilized, such that there is definitely going to be EBITDA accretion from those two vessels as we move from 2016 into 2017?
Scott Andrew Sparks - Helix Energy Solutions Group, Inc.: Yeah. I think it's fair to say that pricing stabilized in the North Sea and slight increases on certain projects where we have dived in and co-achieved in enhancements to others' current offer, but not vast, very slight.
Ian Macpherson - Simmons & Company International: Got it. Thanks, Scotty. And then, with the Skandi Constructor, I believe the charter rolls off at the end of this month – or at the end of March, right? So, I'm assuming that's not being renewed and your guidance assumes no future revenue would also benefit from expiring charter cost there. Is that correct?
Owen E. Kratz - Helix Energy Solutions Group, Inc.: That's correct. That's what's in our budget.
Ian Macpherson - Simmons & Company International: And do you have any thoughts about chartering in more capacity into the fleet between now and when the Q7 arrives? Or do you feel like strategy from here forward is to maximize the capacity that you have on the table?
Owen E. Kratz - Helix Energy Solutions Group, Inc.: I don't see chartering in extra capacity to the Skandi Constructor that we have a very good relationship with Gulf. We'll be leaving our equipment onboard and we'll be jointly marketing the vessel. So, there is a potential there. And if we needed extra tonnage, that would be the first place that we would look.
Ian Macpherson - Simmons & Company International: Got it. Thanks, Owen. I have more, but I'll pass it over for now. Thanks.
Operator: And our next question comes from the line of Haithum Nokta with Clarksons Platou Securities. Please proceed with your question.
Haithum Nokta - Clarksons Platou Securities, Inc.: Hi. Good morning. Tony, I guess, I'm just trying to get a sense for the EBITDA range, $120 million to $140 million. Where are the pockets of, I guess, upside for that since it sounds like the North Sea vessels seemed to have some pretty solid backlog in the busy month of the year? I guess, is the upside really coming from the Q5, kind of, period work available? Or can I just, kind of, get some clarity on that?
Anthony Tripodo - Helix Energy Solutions Group, Inc.: Yes. Let me provide some qualitative comments to your question, and it's a good question. I think where there is potential for upside is even stronger activity in the Well Intervention business in the North Sea than we're anticipating. Right now, we're anticipating better than 2016, but I think there might be opportunities for increased utilization. We'll have to see how the year plays out. But I think that's one pocket of upside. Another pocket of upside is less downtime on the Q5. We're assuming a little less downtime. But if we do even better operationally, there is upside there because that is a pretty good earning contract, okay? Downside, obviously, getting started later in Brazil than we're forecasting right now is a potential downside. Also, I think the robotics business' market activity is pretty weak. It could be even weaker than we forecasted. So, there are some pluses and minuses there that could affect it north or south and hopefully that helps you.
Haithum Nokta - Clarksons Platou Securities, Inc.: No, that's perfect. Thank you. And just to, I guess, calibrate the model for the fourth quarter, were the charter cost for the Siem Helix 1 flowing through the income statement or capitalized?
Anthony Tripodo - Helix Energy Solutions Group, Inc.: The charter expense for the Siem Helix 1 until it goes – it's placed in service is being treated as deferred mobilization, which will be amortized over the life of the contract.
Haithum Nokta - Clarksons Platou Securities, Inc.: Okay. Perfect. I'll leave it at that.
Anthony Tripodo - Helix Energy Solutions Group, Inc.: It's not CapEx. It's really a deferred expense, and then we amortize it over the life of the contract.
Haithum Nokta - Clarksons Platou Securities, Inc.: Got it. I'll turn it back. Thank you.
Operator: And our next question comes from the line of Igor Levi with Morgan Stanley. Please proceed with your question.
Igor Levi - Morgan Stanley & Co. LLC: Good morning. So, now, with both vessels in the North Sea and the Gulf of Mexico fully utilized, could you talk a bit more about the conversations you're having with the customers in each of those regions? And which of the two regions would you guess would first require a third vessel?
Scott Andrew Sparks - Helix Energy Solutions Group, Inc.: Okay. Well, like Tony just said, we're not fully utilized in the regions. We have a very good backlog, and we still have some availability in Q4 for the vessels. That will be our key focus at the moment. I would say if there was a need for a third vessel, it would probably be the North Sea and important to (28:18) that, we're going to leave equipment on the Skandi Constructor. But we're focusing on the assets we have right now than filling out those other gaps.
Igor Levi - Morgan Stanley & Co. LLC: Great. And could you talk a bit about the new ROAM system and what level of customer interest you've seen?
Scott Andrew Sparks - Helix Energy Solutions Group, Inc.: We've seen quite a high level of interest in the North Sea and in the Gulf of Mexico for the ROAM. The ROAM allows us to recover tubing without the use of a marine riser. So, it takes away the requirement for rigs to do the final part of a P&A project. So, through the alliance and through our client base, we're seeing quite high amounts of interest.
Igor Levi - Morgan Stanley & Co. LLC: Great. Thank you. I'll turn it back.
Operator: Our next question comes from the line of Gregory Lewis with Credit Suisse. Please proceed with your question.
Neesha Khanna - Credit Suisse Securities (USA) LLC: Hi. This is Neesha on for Greg. So, it looks like the Jones Act is becoming more strict on foreign operated vessels. How should we think about that in terms of impact to the robotics business? And Helix also recently signed a partnership with Harvey Gulf for robotics. Is that a result of this regulation? Is there something else?
Alisa B. Johnson - Helix Energy Solutions Group, Inc.: You want to do the partnership part? I'll take the Jones Act.
Scott Andrew Sparks - Helix Energy Solutions Group, Inc.: Yeah. We haven't signed a partnership deal with Harvey Gulf. We're in discussions with a few vessel owners to provide a Jones Act compliant vessel – the smaller vessels. The Jones Act would only affect the robotics fleet by one vessel if it was enforced, and we will then place that vessel out of this arena, if that came to fruition. But I'll pass it on to Alisa...
Alisa B. Johnson - Helix Energy Solutions Group, Inc.: Yeah. This is Alisa. In answering your question, we are not exactly sure how this new interpretation, if passed, would affect robotics. If you look at the – some of the logic of the proposed ruling, it would imply that if something is not left behind, it isn't impacted but, because of the way it's drafted, revokes so many prior rulings. In answering your question, it's really not clear at this point.
Owen E. Kratz - Helix Energy Solutions Group, Inc.: I'll just add this has been a movement that's been ongoing for my entire career.
Scott Andrew Sparks - Helix Energy Solutions Group, Inc.: Yes, it is.
Owen E. Kratz - Helix Energy Solutions Group, Inc.: And the new ruling, if enacted, would have to ignore 40, 50 years of precedent.
Neesha Khanna - Credit Suisse Securities (USA) LLC: Got it. And then, on the Siem Helix 2 that's in the shipyard, have there been any lessons learned from the startup process of the first vessel that are driving any changes to the second?
Owen E. Kratz - Helix Energy Solutions Group, Inc.: Absolutely. The original plan was for the second vessel. If you remember, we negotiated with Petrobras a rate reduction on the first vessel. No rate reduction on the second vessel, but a deferred start to the contract. The original plan was to bring the vessel out and try and seek some utilization in the market somewhere. As a result of this first vessel, what we're doing now is we're making all of the modifications to the second vessel that were requested on the first vessel and agreed, so that, when the second vessel arrives into Brazil, there should be no issues and it should go a lot smoother.
Neesha Khanna - Credit Suisse Securities (USA) LLC: Great. Thanks. Congrats on the quarter.
Operator: And our next question comes from the line of Matthew Marietta with Stephens, Inc. Please proceed with your question.
Matt Marietta - Stephens, Inc.: Thanks. Thanks for taking the question this morning. I want to get more color on the Siem 1 issues. You guys obviously talked about it. But to be a little more specific, it's in the shipyard. What exactly happened? What were the equipment issues found during the inspection? And when did those issues become identified? And can you also maybe elaborate a little bit on what triggered moving it into the shipyard and when it got into the shipyard and how long that work is expected to take?
Owen E. Kratz - Helix Energy Solutions Group, Inc.: Wow. I might finish that sometime this afternoon.
Matt Marietta - Stephens, Inc.: Take your time.
Owen E. Kratz - Helix Energy Solutions Group, Inc.: Now, the vessel, at any contract, the technical specs are subject to interpretation. There can be different ways of interpreting them. We had a lot of technical meetings during the build process with Petrobras. We thought we had an agreement on the interpretation of the technical specs. When the vessel arrived in Brazil, of course, that was pre- Parwas (33:04) scandal days then, we negotiated an amendment to the technical specs that still left some ambiguity in the interpretation, where we would – we were basing our interpretation on the technical meetings held prior to that. So, now, post Parwas (33:31) scandal the acceptance of the vessels in Brazil – and as you can imagine, in Brazil, Petrobras is trying to reduce their spending and reduce their fleets. So, there's a lot of scrutiny on anything that would add to the contracted fleet in Petrobras. So, as a result, the legal department got involved. The legal department started making their own interpretation of the technical specs in the contract, which were – which had some differences between what our interpretation were and the way the vessel was built. So, we went through a negotiating period, prolonged inspections to identify all of the issues and a lot of discussions on interpretation and negotiated a mutually agreed the scope of work to be carried out to the vessel. So, the vessel went into the shipyard just the day after Christmas. The work was all agreed at that point, and the work has been proceeding. It's been delayed somewhat. It's been a little slower than we anticipated because of the holidays, Christmas, New Year's. And then, we've got Carnival coming up, which sort of caused a few delays. But other than that, the work is winding up, and we still expect the vessel to be on contract before the end of the first quarter.
Matt Marietta - Stephens, Inc.: So just to clarify, at this point, everything within the contract from an inspection standpoint has been agreed upon and everyone is on the same page and there's no risk on that contract or is that how – is that essentially what you're saying?
Owen E. Kratz - Helix Energy Solutions Group, Inc.: The inspection process is technically still ongoing. So, once we have the work all finished, Petrobras would have to come back onboard and inspect the work to make sure that the work has been done in accordance with what was agreed. Once that occurs, then we go out on a dummy well where we have to prove the operability of the vessel. That has yet to be done. Once we do that, then the vessel goes to its first well site.
Matt Marietta - Stephens, Inc.: And then, on the – and to clarify, I think the question was asked earlier. I just want to get a little more color on the Siem 2. Well, first of all, I think you said there was not a day rate adjustment. So, I guess that day rate is still intact, just to clarify. And then, secondarily, is Petrobras trying to get in front of, I guess, a similar equipment dispute? Is that what's going on, on the Siem 2? Or is there potential risk as the vessel gets delivered that a similar process will happen?
Owen E. Kratz - Helix Energy Solutions Group, Inc.: Well, a similar process will happen in that they will come onboard and they have their inspection protocol as to what they look at. They will then also be applying the same contract interpretation that was used on the Siem Helix 1. What's different is that we now know what that interpretation is. We know we've mutually agreed on the things that need to be modified in order to be in compliance from their perspective. And so, therefore, when the vessel shows up in Brazil, it will go through the similar inspection process, but it will be the same inspection process looking at the same things and we've already negotiated what they should look like. So, there should – it should go a lot smoother.
Matt Marietta - Stephens, Inc.: And just to clarify, this is my last question, the rate on the Siem 2, it's still the original rate when the contracts – when the initial contracts were executed?
Owen E. Kratz - Helix Energy Solutions Group, Inc.: Yes. There's been no – during this whole process, there has been no renegotiation of any rates or terms of the contract.
Matt Marietta - Stephens, Inc.: Okay. Thanks a lot. I appreciate it.
Operator: And our next question comes from the line of Vebs Vaishnav with Cowen. Please proceed with your question.
Vaibhav Vaishnav - Cowen and Company, LLC: Thank you for taking my question. Just following up on Siem 2. Just given what is happening with Petrobras, how do you assess the risk of either a cancellation or delay or any reduction of day rates? I know they have not been discussed so far, but how do you assess the risk of that?
Owen E. Kratz - Helix Energy Solutions Group, Inc.: Well, there has been – there is no termination provisions in the contract unless the vessel goes beyond one year late on delivery. And then, in our dialogue with the Petrobras personnel, like I stated in my color comments, we have a really good relationship now. I think there's enthusiasm in anticipation of the vessel going to work. We've identified the work. It's been – the engineering is ongoing. There seems to be a real desire by Petrobras to have the vessels and anxious to get them started working now. As I've mentioned, Petrobras is reducing their fleet. They're going from 56 to, I think, 26 rigs. In order to do that, they have to have some means of providing the work that their rigs otherwise would have done, and that's the role that these vessels are filling. So, I think there is also a tactical need on Petrobras' part for the two vessels.
Vaibhav Vaishnav - Cowen and Company, LLC: Got it. Okay. It seems like, in Well Intervention, the number of days working in 1Q could be like 230 to 240 from 285, just given some survey work going on. First of all, is that fair? And, second, what are the moving parts in maybe day rates and OpEx we should think about given the survey work on Q4000 and Well Enhancer?
Erik Staffeldt - Helix Energy Solutions Group, Inc.: I think, OpEx-wise, our costs have come down over the last two years. So, we expect our OpEx numbers to be in line with what we have with the budget. Utilization days, definitely Q1 this year is going to be much higher than last year.
Anthony Tripodo - Helix Energy Solutions Group, Inc.: Yeah, two primary reasons. Last year, we didn't have the Q5000 in Q1, and we expect a better utilization for sure on the two UK vessels. So, Q1 will be much stronger from a vessel utilization basis in Q1 than a year ago.
Owen E. Kratz - Helix Energy Solutions Group, Inc.: I would also point out I think there is some additional upside from reducing OpEx through our alliance partner, OneSubsea. And they – when they provide – on an integrated solution, we have their services constantly on the vessel. A lot of their personnel have overlapping skill sets with some of our personnel. So, through the year, you'll see us be attempting to do a little bit more cross-training and, therefore, reducing the personnel onboard for a much more efficient and lower cost operation.
Vaibhav Vaishnav - Cowen and Company, LLC: Okay. And just to clarify, the money spent on survey on, let's say, Q4000, is that like a part of OpEx or CapEx?
Erik Staffeldt - Helix Energy Solutions Group, Inc.: That's dry dock cost that is deferred and amortized over usually a 30-month period.
Vaibhav Vaishnav - Cowen and Company, LLC: Okay. And one last question, switching to robotics. I understand you guys have been talking about that business remains – remaining depressed. But how are you thinking directionally? Are you thinking robotics could be flat to down in 2017 in light of the Grand Canyon III delivery, or how should we think about it?
Erik Staffeldt - Helix Energy Solutions Group, Inc.: Budget-wise, we're expecting robotics to stay flat this year. And I think Tony already highlighted that there is a risk point if we don't achieve the utilization that we're looking for. There is an upside in the trenching side, and we're managing to hold rates on the trenching side. So, it's flat, and we're going to do our best with it.
Vaibhav Vaishnav - Cowen and Company, LLC: Okay.
Erik Staffeldt - Helix Energy Solutions Group, Inc.: Yeah. We're forecasting relatively flat, but there is risk to that forecast. I'll just say that.
Vaibhav Vaishnav - Cowen and Company, LLC: Got it. All right. Thanks for taking my question.
Operator: And our next question comes from the line of Joe Gibney with Capital One. Please proceed with your question.
Joseph D. Gibney - Capital One Southcoast: Thanks. Good morning, guys. Just a question on how we should think about utilization for some of these North Sea assets, your efforts for high utilization for the Well Enhancer going through for the year. The Seawell, sounds like you've got a good linkage of work all the way into November, but are there gaps in between those jobs? I'm just trying to think about utilization on a normalized basis for the Seawell. Or are you expecting it to run pretty fully utilized into November akin to the Well Enhancer?
Scott Andrew Sparks - Helix Energy Solutions Group, Inc.: Okay. It's the Seawell that has good utilization efforts in November. And the Well Enhancer, we're quite confident in our scheduling. We expect there will be some gaps, but very minor gaps and should be a complete run through from now outwards providing one or two (42:41) other contracts for the Well Enhancer.
Joseph D. Gibney - Capital One Southcoast: Okay. On the first quarter – just back to the question of sort of easing into your guidance here, Tony, for the year. 1Q, obviously, got the puts and takes with Q4 and a Siem 1 variability on startup, but should we anticipate sort of similar seasonal weakness in robotics as we usually do? And just a side question on that. I mean, how is pricing on the robotics side? I know this is predominantly a utilization game, as we get into 2017 here. But is pricing still under pressure as well as we think about that sub segment?
Anthony Tripodo - Helix Energy Solutions Group, Inc.: Okay. So, on the robotics side, yes, we're forecasting. In our forecast, we're assuming, on average, lower day rates in the robotics business in 2017 than 2016. We will – our forecast assumes we will offset that with lower expense, but that is the trend we're seeing in 2017. It's essentially across the fleet, across the ROV fleet and across the vessel fleet, lower day rates. If you could repeat the first part of your question, Joe, I want to make sure I...
Joseph D. Gibney - Capital One Southcoast: Yeah – no, just the seasonal aspect of robotics tailing off a little bit...
Anthony Tripodo - Helix Energy Solutions Group, Inc.: Yeah glad to do that (44:03)
Joseph D. Gibney - Capital One Southcoast: Okay. Got it.
Anthony Tripodo - Helix Energy Solutions Group, Inc.: Yeah. We expect robotics to have a pretty weak first quarter, which it normally does. Normally, the first quarter is the weakest quarter, and that's the way we're forecasting it as well. I mean, the robotics will follow its typical quarterly trend of low point in Q1, starting to pick up in Q2 and Q3 and then slight drop-off in Q4. That's the way the robotics business has always run, and that's the way we're anticipating it this year.
Joseph D. Gibney - Capital One Southcoast: Okay.
Anthony Tripodo - Helix Energy Solutions Group, Inc.: All in all, I think, because of the Well Intervention business being much stronger versus a year ago, we are anticipating, overall, to have a much better quarter 1 in 2017 than we had last year.
Joseph D. Gibney - Capital One Southcoast: Okay. Fair enough. And last one for me. Just on the vessel side, you guys are opportunistic on some of these dry docks in the seasonal downtime last quarter you got the Q4. Anything else out there from a vessel perspective we needed to be cognizant in modeling from a dry dock standpoint when you're thinking about a Q5 or even HP1 or Well Enhancers as we get into mid- to late-2018? Just any thoughts there will be helpful.
Scott Andrew Sparks - Helix Energy Solutions Group, Inc.: All major dry docks have been undertaken for the year. We have some inspections to do on Q5. There's about a week left of inspections. That being said, that work could be undertaken if we were absolutely working as well. So, there's nothing major out there for this year...
Joseph D. Gibney - Capital One Southcoast: Okay.
Scott Andrew Sparks - Helix Energy Solutions Group, Inc.: Apart from that (45:35) we've already given guidance on.
Joseph D. Gibney - Capital One Southcoast: Okay. All right. I appreciate it. Thanks. I'll turn it back.
Operator: And our next question comes from the line of Bill Dezellem with Tieton Capital. Please proceed with your question. Bill Dezellem, your line is now open. Please proceed with your question.
William Joseph Dezellem - Tieton Capital Management LLC: My apologies. The OneSubsea alliance, would you please go into a little more detail in terms of what you're seeing with the opportunities with that alliance and how you think 2017 may look different than 2016 and, continuing that out, how 2018 may look different than 2017?
Scott Andrew Sparks - Helix Energy Solutions Group, Inc.: Okay. Well, the alliance is very strong. We have a good relationship. Our sales force is more joint than ever before. We are still seeing good opportunities along the lines of the integrated works we undertook in Q3 and Q4 on Q4000. And so, there's opportunities that are out there in the market likes how (46:37) we contracted. This year, we plan to integrate the teams closer, as Owen has already mentioned. Our overall plan will be one day (46:46) on certain assets to have just their services onboard the vessels. And therefore, we can truly integrate teams and bring down the overall lower cost of the spreads. And this year is significant for us. We'll be bringing the first true 15k system to the market later in the year and also their own system. So, there's two new pieces of equipment that will join the market, and they'll be coming to the market this year.
William Joseph Dezellem - Tieton Capital Management LLC: Thank you. And then, moving to the North Sea. Does that market normally lead the upturn?
Owen E. Kratz - Helix Energy Solutions Group, Inc.: No. Historically, I wouldn't say that that there's a trend there. In fact, the North Sea has been the hardest hit during this downturn with respect to the overall volume of work.
Scott Andrew Sparks - Helix Energy Solutions Group, Inc.: But we see an increased utilization this year and, like I said earlier, some slight increase on pricing, but it's not generally the lead – or there's no data point to give us a lead from it. But we are seeing across both sides of our Well Intervention business that the clients are moving more to production enhancement than P&A of late. Typically, over the last few years, it's been sort of 50-50, whether it's P&A work or enhancement. Now, we're seeing a bit of a shift in the upturn in oil prices to get more enhancement projects on the go.
Owen E. Kratz - Helix Energy Solutions Group, Inc.: I would just add, if anything, what's driving the early recovery here in the North Sea may be the fact that the wells are very old. If you don't intervene in them, you'll have – you'll accelerate the cessation of production. So, in order to prolong the life of the fields, I think the producers have starved the capital spending on the intervention side and you're seeing just the necessity of going in and working on wells.
Scott Andrew Sparks - Helix Energy Solutions Group, Inc.: And that's where the uniqueness of our assets in the North Sea comes online, having diver-based intervention vessels for (48:50) roughly 48% of the wells in the North Sea. The older wells that Owen is talking about require diver interventions to be able to latch on and allow us to undertake intervention works.
William Joseph Dezellem - Tieton Capital Management LLC: That's helpful. Thank you. I'd like to use that as a segue to move into Petrobras' assets. And I'm curious. The degree to which their enthusiasm that you referenced increasing has as much to do with oil prices going up because they have some positive ROI projects that they can get the Siem 1 working on and will actually make sense to them, whereas three to six months ago, they were a little less enthusiastic about that.
Scott Andrew Sparks - Helix Energy Solutions Group, Inc.: I mean, for both of the assets, the vessels have had a forward plan of scheduling for nearly two years prior to the increase in oil prices. The vessels were scheduled into their overall program to undertake the workovers, and those schedules are still the same from prior to the increase of oil price to what we assume today.
Owen E. Kratz - Helix Energy Solutions Group, Inc.: I do think that there was a shift in the – and I hate to speak for Petrobras here. But from what I can understand, there was a shift from utilizing the vessels primarily in the well construction mode. And with the drop-off of the drilling, there was a shift in their desire to use the vessels more in the production enhancement and P&A mode, and that also led to some of the modifications required on the vessel to broaden their scope of work.
Scott Andrew Sparks - Helix Energy Solutions Group, Inc.: That's a good point.
William Joseph Dezellem - Tieton Capital Management LLC: Thank you, both. That's very helpful.
Operator: And our next question comes from the line of Praveen Narra with Raymond James. Please proceed with your question.
Praveen Narra - Raymond James & Associates, Inc.: Hi. Good morning, guys. Just a couple of quick ones on guidance. In terms of the robotics pricing you discussed, was that pricing continued to get hit from here on an average basis and do you expect it to kind of bottom sometime in 2017 or continue to get hit over the course of the year?
Scott Andrew Sparks - Helix Energy Solutions Group, Inc.: It's across all of the business segments for our robotics fleet pricing. There's a true oversupply of vessels out there at the moment. The vessel owners aren't scrapping like the rig owners are, so there's an oversupply. We've seen the prices come down in the Gulf of Mexico and APAC and in the North Sea. The only area that we're holding is on the niche trenching side.
Owen E. Kratz - Helix Energy Solutions Group, Inc.: I might point out though that we have – we charter all the vessels into our robotics fleet. Our charters were priced at pre-oil price class rates. If you were to pro forma the current vessel rates into Canyon's results instead of our charter rates, Canyon would be very profitable right now. So, going forward, as our charters roll off, you should see a recovery of Canyon.
Scott Andrew Sparks - Helix Energy Solutions Group, Inc.: Over next two years, we have one vessel each year rolling off.
Praveen Narra - Raymond James & Associates, Inc.: That's very helpful. And then, in terms of the Siem, if I think about – sorry, the Siem 2, in terms of when I think about when the Siem 1 has topside installed, it seems like, given the learning curve you guys have at the Siem 1, it seems like the Siem 2 could perhaps start at the beginning of Q4, depending on how the installation schedule goes. I guess, what is kind of built in on that Q4 start? Is that a mid-year, mid-quarter start?
Owen E. Kratz - Helix Energy Solutions Group, Inc.: Right. Right now, I wouldn't count on an early fourth quarter start. I think the – and we'll know more and can probably report more on the next quarterly results. Right now, though, we're into the sourcing of some long lead items and it really – in the industry right now, nobody keeps anything on the shelf and inventory. So, everything has to become bespoke and fabricated, and we don't have a firm handle yet on all of the delivery times. Once we have that, we'd be able to be a little more exact on the delivery time of the vessel.
Praveen Narra - Raymond James & Associates, Inc.: Okay. And then, last one for me. In terms of rig contracts that are rolling off, you've got a bunch of them in 2017. In terms of recontracting some of your assets, are you starting to have discussions with operators in terms of more longer term commitments again? Or is that something that you're still trying to stay away from and talk in shorter term for the most part?
Scott Andrew Sparks - Helix Energy Solutions Group, Inc.: With a couple of our key clients, there are discussions on longer term opportunities. But then, the rest of the southern market is now where we're picking up work as we go along and there's not as many longer-term requirements out there. There's no major Q5000 long-term type deals out there at the moment. But we are with certain key clients that require assets talking about extended frame agreements.
Praveen Narra - Raymond James & Associates, Inc.: Okay. Perfect. Thanks very much.
Owen E. Kratz - Helix Energy Solutions Group, Inc.: Yeah. I'll just add two points on that. The Well Intervention market, other than the long-term contracts that we already hold, there are very few long-term contracts available or very few clients that even have the requirements that could support a long-term contract. So, it's a spot market.
Scott Andrew Sparks - Helix Energy Solutions Group, Inc.: It always has been.
Owen E. Kratz - Helix Energy Solutions Group, Inc.: Yeah, always has been.
Praveen Narra - Raymond James & Associates, Inc.: Right. Thank you very much, guys.
Operator: And our next question comes from the line of Chase Mulvehill with Wolfe Research. Please proceed with your question.
Chase Mulvehill - Wolfe Research LLC: Hey. Thanks. Thanks for squeezing me in. I guess, a few questions. I guess, first one, kind of, a point of clarification for the Siem Helix 2. So, the newly agreed upon technical requirements, are they the same on the Siem Helix 2 as they are on the Siem Helix 1?
Owen E. Kratz - Helix Energy Solutions Group, Inc.: Yes, they're identical.
Chase Mulvehill - Wolfe Research LLC: Okay. So, in other words, if you go through all the – and get approval for the Siem Helix 1, then they can't change anything on the technical requirements as you bring online the Siem Helix 2?
Owen E. Kratz - Helix Energy Solutions Group, Inc.: That should not occur.
Chase Mulvehill - Wolfe Research LLC: Okay. All right. And then – and so, what was the incremental CapEx on each vessel that you had to end up spending this year?
Owen E. Kratz - Helix Energy Solutions Group, Inc.: The incremental additional CapEx?
Chase Mulvehill - Wolfe Research LLC: Yeah. I mean, it seems like – because of the new technical requirements, there is some incremental CapEx>
Owen E. Kratz - Helix Energy Solutions Group, Inc.: Yeah. On the Siem Helix 1, it was about $11 million. And on the Siem Helix 2, it's going to be a little bit more than that. It's going to be $15 million to $20 million.
Chase Mulvehill - Wolfe Research LLC: Okay. And just to confirm, there is no change in the day rate as a result of incremental CapEx, correct?
Owen E. Kratz - Helix Energy Solutions Group, Inc.: Correct.
Chase Mulvehill - Wolfe Research LLC: Okay. All right. And then, as we think about the...
Owen E. Kratz - Helix Energy Solutions Group, Inc.: Wait, let me just add, we were actually under our CapEx budget on both those vessels prior to this happening. So – but I think that's a pretty good number...
Chase Mulvehill - Wolfe Research LLC: Okay. So, what is total CapEx for each of these vessels then? That might help.
Erik Staffeldt - Helix Energy Solutions Group, Inc.: I think it's gone up. Originally, we had guided around $130 million per vessel, and I think it's up to...
Owen E. Kratz - Helix Energy Solutions Group, Inc.: $145 million.
Erik Staffeldt - Helix Energy Solutions Group, Inc.: $145 million per vessel.
Chase Mulvehill - Wolfe Research LLC: Okay. All right. And then, for the Siem Helix 2 vessel, it's delivered in April and it starts up in, kind of, the fourth quarter. How are the cash costs? What are the quarterly or daily cash costs? I don't know how you want to help us. What's the associated cash cost of this vessel until it starts up in fourth quarter?
Erik Staffeldt - Helix Energy Solutions Group, Inc.: Well, as we previously talked about the Siem Helix 2, we had mentioned that we were going to try to market it in the mid-year range prior to Petrobras. Obviously, with the developments of the Siem Helix 1 and the requirements of the Siem Helix 2, that opportunity is no longer available. I think we're going to be taking our full time prior to the Petrobras contract to be working on the vessel, doing the – getting the systems up to the requirement. So, there is not going to be an opportunity to market the vessel prior to the Petrobras contract. That being said, majority of the cost will be part of our capital, and then there will be costs associated with the mobilization which will be deferred up until the start of the contract.
Chase Mulvehill - Wolfe Research LLC: Okay. Will you be paying Siem the charter rate starting in April?
Owen E. Kratz - Helix Energy Solutions Group, Inc.: The charter rate on the Siem Helix 2 has commenced as of February 15.
Chase Mulvehill - Wolfe Research LLC: Okay, okay. All right. And so, the net cash cost will continue to roll through and then you'll just defer those costs and you'll have some amortization over the life of the contract, right?
Owen E. Kratz - Helix Energy Solutions Group, Inc.: Correct.
Chase Mulvehill - Wolfe Research LLC: Okay. All right. And then, last one. Could you talk about the equity raise in January and kind of, what drove your decision to issue equity in January?
Anthony Tripodo - Helix Energy Solutions Group, Inc.: Really, a variety of factors, Chase, being we're looking at the outlook and it's been lower for longer. We felt that it would be important to reduce our net debt, given that scenario even though, as Owen mentioned, there are some green shoots out there. I mean, I don't think we're going to go from 2016 back to 2014 overnight. So, given that, given the late startup in Brazil and just wanting to have an abundance of caution with respect to liquidity, all those factors drove our decision to raise equity.
Chase Mulvehill - Wolfe Research LLC: Okay. I just want to clear that up because we've gotten a lot of questions on that. So...
Owen E. Kratz - Helix Energy Solutions Group, Inc.: I'll just chime in a little bit here because, as everyone probably knows, I don't like issuing equity. But in this case, if you look at the next phase, once we're through with our capital spend program, the next phase for the company would be an aggressive pay-down of debt. Having this cash on the balance sheet right now helps in a number of respects with flexibility and optionality. It certainly improves our position as we renegotiate our credit facility that's coming up. It also gives us the optionality as to when we take delivery of the Q7000, should the market come back. And if we don't spend the money, then it just accelerates the debt repayment at a later date, which was always the plan. So, it was sort of an abundance of caution that did very little harm.
Chase Mulvehill - Wolfe Research LLC: Right, right. Okay. If allowed, (01:00:08) I'm going to squeeze one more in, if you don't mind. If we think about the OneSubsea alliance, what percentage of your Well Intervention jobs tendered recently have included both Helix and OneSubsea?
Scott Andrew Sparks - Helix Energy Solutions Group, Inc.: In Q4, out of five projects on the Q4000. Three of those projects were jointly combined OneSubsea-Helix projects.
Chase Mulvehill - Wolfe Research LLC: Okay. And were they all in the Gulf of Mexico?
Owen E. Kratz - Helix Energy Solutions Group, Inc.: Correct, yes.
Chase Mulvehill - Wolfe Research LLC: Okay. Awesome. I'll turn it back over. Thanks.
Operator: I do have a follow-up question from the line of Ian Macpherson with Simmons. Please proceed with your question.
Ian Macpherson - Simmons & Company International: No, I'm all finished. Thanks very much.
Operator: Thank you. And I do have another follow-up question from the line of Haithum Nokta from Clarksons Platou Securities. Please proceed with your question.
Haithum Nokta - Clarksons Platou Securities, Inc.: Hi. Thanks for getting me back in. I just wanted Tony or Owen to actually give a little color on this. You've mentioned briefly that the Skandi Constructor will have a joint marketing agreement going forward. Can you just kind of give a little color on what that would mean for the business?
Owen E. Kratz - Helix Energy Solutions Group, Inc.: Well, right now, there's nothing in our forecast for it. It's just, with the way that the schedules are booking up, the fact that the Skandi Constructor has been a good vessel and operates well, we've got a good relationship with DOF and the decision was to leave our equipment onboard, which enhanced their opportunity to find work for the vessel. And we will jointly try and – we'll do our share in trying to find work for the vessel. Of course, we'll fill up our other vessel schedules first. But with the way the schedules are working out, it looks like there could be potential conflicts of scheduling that would require additional tonnage. And if so, then we would press that – that we would talk with DOF about bringing the vessel back into service. But from a cost perspective, our charter does complete on April 1. I believe it is, Scotty. So, after April 1, there's no additional cost to us other than maintenance costs for the equipment onboard.
Haithum Nokta - Clarksons Platou Securities, Inc.: I see. And so, if that vessel does work, call it, more of a just regular kind of subsea support, that wouldn't be something that you would share in the economics of – but if it's a work – an intervention work scope, would that be something that you would benefit from?
Owen E. Kratz - Helix Energy Solutions Group, Inc.: Certainly. We would be – for an intervention work, we would probably be the prime contractor. So, therefore, the economics would flow through us and we would have to negotiate. If and when that times comes for that project, we will negotiate a splitting of the economic benefit with DOF.
Haithum Nokta - Clarksons Platou Securities, Inc.: Okay. Cool. Thank you.
Operator: And our last question we have is another follow-up question from the line of Vebs Vaishnav with Cowen. Please proceed with your question.
Vaibhav Vaishnav - Cowen and Company, LLC: Hey, thanks for putting me back in. Just two couple of quick questions. If I think about the IRS 15,000 and the ROAM systems, can you talk about the CapEx requirement and what – how do you think about the cash payback period for those and what's embedded in the guidance for 2017?
Owen E. Kratz - Helix Energy Solutions Group, Inc.: I can tell you the both systems are jointly owned between ourselves and OneSubsea, the alliance. So, the capital is split on the 15,000-psi system...
Scott Andrew Sparks - Helix Energy Solutions Group, Inc.: It's $28 million on 15,000.
Owen E. Kratz - Helix Energy Solutions Group, Inc.: That's 100%. So, our share is $14 million. And then, on the ROAM system, I believe it's $11 million and so our share is about $5.5 million. The economics are such – typically, an IRS system in the marketplace on a rental basis, will go from anywhere from $50,000 on up to $90,000. It's a broad range depending on the market conditions and whose system it is. We would expect the 15,000-psi system to certainly carry a premium.
Vaibhav Vaishnav - Cowen and Company, LLC: Okay.
Anthony Tripodo - Helix Energy Solutions Group, Inc.: Yeah. And we have very little – we have zero revenues assumed in our forecast with the ROAM and a little bit for the 15,000, but it really doesn't move the needle.
Vaibhav Vaishnav - Cowen and Company, LLC: Okay. And on Q4000, I think you said you have a good backlog in 2017. If you could provide some color on that, and that's all for me.
Erik Staffeldt - Helix Energy Solutions Group, Inc.: Yeah. We haven't provided it specifically. It's a good backlog. It's similar to what we had entering 2016. Obviously, we do have the write-off in there. We do have some gaps that we need to fill. But we believe that, for the year, the vessel will have high utilization, absent the dry docks.
Vaibhav Vaishnav - Cowen and Company, LLC: All right. Thank you. That's all for me. Thank you, gentlemen.
Operator: And, Mr. Staffeldt, that is all the questions I have on the phones.
Erik Staffeldt - Helix Energy Solutions Group, Inc.: Okay. Thanks for joining us today. We very much appreciate your interest and participation and look forward to having you on our first quarter 2017 call in April.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation, and ask that you please disconnect your lines. Have a great day.